Operator: Good day, and welcome to the Ryerson Holding Corporation's First Quarter 2024 Conference Call. Today's conference is being recorded. [Operator Instructions] At this time, I would like to turn the conference over to Pratham Dear. Please go ahead. 
Pratham Dear: Good morning. Thank you for joining Ryerson Holding Corporation's First Quarter 2024 Earnings Call. On our call, we have Eddie Lehner, Ryerson's President and Chief Executive Officer; Mike Burbach, our Chief Operating Officer; Jim Claussen, our Chief Financial Officer; and Molly Kannan, our Chief Accounting Officer and Corporate Controller; John Orth, our Executive Vice President of Operations; Mike Hamilton, our Vice President of Corporate Supply Chain; and Jorge Beristain, our Vice President of Finance, who will be joining us for Q&A. 
 Certain comments on this call contain forward-looking statements within the meaning of the federal securities laws. These statements involve a number of risks and uncertainties that could cause actual results to differ materially from those implied by the forward-looking statements. These risks include, but are not limited to, those set forth under Risk Factors in our annual report on Form 10-K for the year ended December 31, 2023, our quarterly report on Form 10-Q for the quarter ended March 31, 2024, and in our other filings with the Securities and Exchange Commission. You are cautioned not to place undue reliance on these forward-looking statements, which speak only as of the date they are made and are not guarantees of future performance. 
 In addition, our remarks today refer to several non-GAAP financial measures that are intended to supplement but not substitute for the most directly comparable GAAP measures. A reconciliation of non-GAAP measures to the most directly comparable GAAP financial measures is provided in our earnings release filed on Form 8-K yesterday and also available on the Investor Relations section of our website. 
 I'll now turn the call over to Eddie. 
Edward Lehner: Thank you, Pratham, and thank you all for joining us this morning. I want to start by recognizing our 4,600 strong Ryerson team for prioritizing a safe and productive operating environment for our over 110 facilities across North America and China. In the first quarter of 2024, our service center network celebrated 2 major keystones, the start-up of operations at Central Steel & Wire flagship location at the University Park, Illinois Service Center as well as completing the conversion of 17 service centers to a unified ERP system. Since 2022, we have converted 31 of our service centers or 1/3 of our North American footprint to a unified ERP platform, moving us closer to our digitally enabled organization objectives. 
 All of our investments in CapEx and acquisitions are geared toward delivering the best possible customer experience with a next-generation operating model, delivering improved operating and earnings leverage through the cycle with less volatility, we cannot continue subsisting and thriving on yesteryear's workarounds and patches for customer experience delivery systems and infrastructure that are outdated and have no hope of delivering competitive differentiation. 
 It is not an easy or comfortable process to endure, particularly through a protracted industry counter cycle but it is necessary and will be well worth it over the long run. We're glad to do the harder things now as we move from current counter-cyclicality toward the next synchronized industry upturn. As a good friend of mine in the industry has said to me, grow when it's slow. And so we're doing that given the opportunity afforded us from record years in 2021 and 2022. 
 The list of investments made over the past 2-plus years and continuing through 2024 is too numerous to list here, but it is consequential. Please pardon our construction as we build a better Ryerson. And so it goes that as we move from a heavy planting season, we are preparing for the harvest. And with that, comes removing some inertia and excesses engendered from the level of investment undertaken relative to Ryerson's size and history and amidst post-pandemic investment frictions. 
 It is now the appropriate time to transition to an investment, integration and optimization phase as we grow up and grow into these investments while pairing and pruning transitory expenses taken on over the past several years and in advance of revenue and cash flow generation across new assets and acquisition additions. 
 As for our results during the quarter, while our business met the top end of our volume guidance, our financial results and miss on earnings guidance reflected greater-than-expected and intensified margin compression through the quarter across our carbon steel and stainless steel product franchises. 
 I am encouraged to note the commodity price bellwethers inflected toward the end of the quarter as moving averages across carbon stainless and aluminum price indices began moving higher. Additionally, we experienced incrementally higher quoting and order conversion rates in the second half of the quarter as we appear to be moving off of a counter-cyclical bottom in aggregate with destocking activity and post-pandemic effects dissipating and giving way to a more familiar supply-demand environment. 
 The counter-cycle that began in the second half of 2022 is getting long relative to historical norms and societal needs requiring industrial metals continue to accumulate. As I remarked in my annual letter to shareholders, doing the hard and necessary things isn't the expedient or easy way. But for the benefit of reasonably patient long-term stakeholders, it is the only responsible way. 
 With that, I'll now turn the call over to our Chief Operating Officer, Mike Burbach, to further discuss the pricing and demand environment. 
Michael Burbach: Thanks, Eddie, and good morning, everyone. Overall, Ryerson's first quarter revenue of $1.24 billion came in line with our guidance expectations with an average sale price of $2,493 per ton and sales volume of 497,000 tons. Our average selling price per ton was up 0.8% quarter-over-quarter, which was slightly below the range of our guidance expectations, primarily due to weaker-than-expected conditions in stainless-consuming end markets, which comprise 25% of our product mix. .
 On the other hand, while average selling prices for our carbon products increased by 1%, buoyed by late fourth quarter steel mill price increases, headline spot hot-rolled coil prices declined notably between early January and mid-March before stabilizing and inflecting slightly higher by quarter's end. Additionally, the average selling price for the other half of our bright metals franchise aluminum products increased by 10% from improving sequential end market demand and an approximately 1% increase in LME aluminum prices through the quarter. 
 From a quarter-over-quarter product perspective, we grew market share versus the industry by regaining share in carbon steel products and by continuing to outperform a subdued stainless market. Unfortunately, although we gained market share without price discounting greater than counter-cyclical norms, we experienced notable year-over-year margin compression while noting a 70 bp sequential gross margin, excluding LIFO improvement on growing value-added fabrication sales. On an upbeat note, metals commodity pricing for our bright metals franchise, namely stainless and aluminum, which represent roughly 45% of our product mix, inflected positively later in the quarter, which we believe is a positive catalyst moving forward. 
 Turning to the demand environment. During the first quarter, most of our end markets experienced seasonal restocking demand, with transportation showing the largest quarter-over-quarter increase. Ryerson sales volume of 497,000 tons or 10.4% higher quarter-over-quarter and slightly above the top end of our guidance range, benefiting from improved end market seasonal restocking despite contractionary indicators from PMIs in U.S. industrial production for most of the quarter. 
 Ryerson's North American shipments outperformed the industry, increasing 13.7% quarter-over-quarter. This compares to a 7% increase for the industry as measured by the Metals Service Center Institute or MSCI. Volume increases were seen across most end markets with ground transportation, construction equipment and industrial manufacturing-related sectors showing the strongest growth. These sectors benefited from Class VIII truck orders and shipments in metal fabrication, farm machinery, industrial machinery and HVAC, reflecting the U.S. durable goods reports by the Census Bureau. 
 Finally, I would like to supplement Eddie's commentary about the benefits of our investment cycle for our customers. The modernization of our service centers in ERP integration across our Southern U.S. locations, further position us to offer exceptional customer experiences for our diverse customer needs, ranging from pure-play industrial distribution to full kit assembly. 
 Investments in our 2 new service centers at University Park, Illinois and Centralia, Washington as well as the expansion of capabilities in our Atlanta, Georgia; Portage, Indiana; and Dallas, Texas locations, are all about improving the value provided to our customers to meet their ever-changing requirements. The ERP integration across our Southern location enhances the sharing of inventory information and services  on a greater national scale, which is the network leverage effect we are striving for. 
 And with that, I will turn the call over to Jim for first quarter financial highlights as well as our second quarter 2024 outlook. 
Jim Claussen: Thank you, Mike, and good morning, everyone. During the first quarter, we met our guidance on revenue and returned cash to shareholders through dividends and share repurchases while continuing to execute our organic and acquisition growth investments. 
 Before discussing guidance for the second quarter, I would like to highlight the drivers for our first quarter performance compared to our guidance expectations. In the quarter, we generated $40 million in adjusted EBITDA excluding LIFO. This came in below our guidance range and was driven by margin pressure most acutely in our carbon steel franchise as pricing reductions throughout the quarter as well as continued pricing pressure, most notably on our stainless steel franchise met with lagging higher average cost and inventory. 
 This led to a loss per share of $0.22, which was below our guidance range. The miss on earnings per share was driven by the previously mentioned margin compression as well as increased investment cycle transitory costs related primarily to the start-up of our University Park, Illinois service center, completion of the ERP conversions as well as the expansion of our cut-to-length and automated storage and retrieval service center capabilities in Shelbyville, Kentucky. 
 Looking to the second quarter, we expect volumes to be up sequentially compared to the first quarter, in line with normal seasonality of 1% to 3%. As such, we expect second quarter revenues to be in the range of $1.25 billion to $1.29 billion with average selling price up 0% to 1%. Based on these expectations, we forecast adjusted EBITDA for the second quarter of 2024, excluding LIFO, in the range of $47 million to $53 million and earnings in the range of $0.15 to $0.25 per diluted share. We expect approximately $1 million in LIFO expense in the second quarter. 
 In the first quarter, we used $48 million of cash flow in our operations, which included a $32 million build from working capital requirements. Our working capital build was largely driven by intentional inventory placement closer to the customer at higher service levels aimed at improving lead times and on-time delivery amidst investment program network disruptions. We ended the period with $497 million of total debt and $455 million of net debt. While the company's available global liquidity remains healthy and increased $28 million to $684 million. 
 Due to the timing of our business investments and strategic inventory positioning leading to a greater drawdown on our ABL over lower adjusted EBITDA generation, we exceeded our 2x target range for net leverage during the quarter. Our ABL fits the nature of our business where we can fluctuate our borrowing up and down based on our needs. In no uncertain terms, a healthy balance sheet is an imperative and central to our operating model. And while we anticipate being above 2.0x net leverage as we complete our investment cycle and begin generating revenue and cash across recent and near-term new assets, we reiterate our commitment to our long-term range of 0.5 to 2x net leverage. 
 As we work through the final year of our investment in modernization cycle, we are also initiating cost normalization actions to reduce our overall cost structure. This reduction will begin this quarter, and we expect to achieve approximately $40 million in annualized cost savings. Beginning in second quarter, we anticipate realizing roughly $25 million of these cost savings for the balance of 2024. The anticipated restructuring costs associated with these targeted actions is expected to be in the range of $3 million to $4 million. 
 In the first quarter, we invested $22 million in capital expenditures which included, most notably, the exit from our Central Steel & Wire credit facility and start-up of operations at our new 900,000-square-foot center at University Park, Illinois, as well as the modernization, automation and expansion of our Shelbyville, Kentucky nonferrous coil processing facility. 
 The investments we are making are expected to drive better customer experiences, improve asset utilization, improve working capital efficiency, increased productivity and provide a safer operating environment for our employees. We are very excited about the modernization efforts across our network and the better customer experiences they will provide. 
 As we work through the completion of the significant projects mentioned previously, we would note that we expect 2024 capital expenditures of our previously stated budget of $110 million and 2025 capital expenditures of approximately $50 million. We have spent the past few years reinvesting heavily in our business operating model targeting an improved customer experience with higher and less volatile through-the-cycle earnings. With the majority of this spend behind us, we're looking forward to providing more value and better servicing our customers through our improved network of intelligently connected industrial metal service centers. 
 Turning to shareholder returns. Ryerson returned $7.4 million in the quarter, which was comprised of $6.4 million in dividends and $1 million in share repurchases. We paid a quarterly dividend of $0.1875 per share and have announced a second quarter cash dividend of the same amount. As for share repurchases, after repurchasing just over 30,000 shares for approximately $1 million in the open market during the quarter, we currently have approximately $38 million remaining of our $100 million authorization, which expires in April of 2025. 
 As we look forward to the second quarter and balance of 2024, we will continue to prudently evaluate our shareholder return opportunities as well as our overall capital allocation strategy to maximize long-term shareholder value. 
 With that, I'll turn the call over to Molly to provide further details on our first quarter financial results. 
Molly Kannan: Thank you, Jim, and good morning, everyone. In the first quarter of 2024, Ryerson reported net sales of $1.24 billion, which was 11% higher sequentially, driven largely by higher volumes as well as marginally higher average selling prices. In the same period, gross margin of 17.6% saw a contraction of 460 basis points versus the previous quarter, primarily due to $59 million of LIFO income recorded in the fourth quarter of 2023 versus $1 million of LIFO expense recorded in the first quarter of 2024. Excluding LIFO, gross margin expanded 70 basis points from the fourth quarter to 17.6% as average selling price for our sales mix outpaced higher cost of goods sold. 
 On the expense side, warehousing, delivery, selling, general and administrative expenses increased 6% quarter-over-quarter to $217 million driven primarily by higher investment project-related expenses and higher expenses related to recent acquisitions. These increased expenses were partially offset by lower depreciation expenses. 
 For the first quarter of 2024, net loss attributable to Ryerson was $7.6 million or $0.22 per diluted share compared to net income attributable to Ryerson of $25.8 million and diluted earnings per share of $0.74 in the prior quarter. Finally, Ryerson achieved adjusted EBITDA, excluding LIFO, of $40.2 million in the first quarter of 2024, which compares to $25.9 million in the prior quarter. 
 And with this, I'll turn the call back to Eddie. 
Edward Lehner: Thank you, Molly.  As Ryerson has embarked on its largest investment in shareholder return cycle, in more than a generation, we have had to balance the regular demands of our day-to-day operations while executing our investments to position our business for long-term success. With the investments in majority now in place, we can begin monetizing operational efficiencies as we ramp up these investments and move beyond current countercyclical conditions. 
 In that regard, we are commencing an optimization cycle that is expected to generate further expense and earnings leverage within our next-generation operating model. With modern, more efficient facilities, equipment and systems harmonized and tuned to a fully integrated and synchronized industrial metals service center network, we're better able to reach our customer experience and financial performance aspirations. With our long-term vision for Ryerson of always adding and expanding value to our customers through greater levels of service, speed, efficiency, joy and success, we are committed to and passionate about partnering with our customers in a long overdue cycle of reinvestment in North America's industrial manufacturing base. 
 Additionally, emerging trends in electrification, climate, mobility and AI as well as the derisking global supply chains, all bode well for foundational investments by our society that will promote the greater prosperity and well-being of our fellow citizens and the world we share. 
 With that, we look forward to your questions. Operator? 
Operator: [Operator Instructions] And we can take our first question from Katja Jancic with BMO Capital Markets. 
Katja Jancic: Starting on the $25 million in cost savings, is any of that expected to be achieved during the second quarter? Or is this more second half of the year? 
Edward Lehner: I'm going to turn it over to Jim in a second. But directionally, yes, we're going to start to see some benefits in the second quarter, but it will ramp up as it gets more embedded and we get more traction in the second half of the year. Jim? 
Jim Claussen: Yes. Katja, Eddie really covered it, we should see sequentially increasing amounts beginning in Q3 to -- in Q2 through Q3 and Q4, and that will total approximately $25 million for the year. 
Katja Jancic: And then for the remaining, I think it's $15 million, is that first half of next year? Is that fair? 
Jim Claussen: We'll be at an annualized rate by the end of the year of $40 million as we head into 2025. 
Katja Jancic: Okay. And maybe on the CapEx -- or sorry... 
Edward Lehner: Yes, go ahead. 
Katja Jancic: On the 25 million CapEx, the $50 million, how much of that is sustaining? 
Edward Lehner: Let me answer it this way. With maintenance CapEx between, say, $30 million and $35 million across the network, we'll have some growth projects, Katja, that will continue to finish as we move through 2025, things that we started, that we put deposits down on. There's also some attractive ROIs on those investments. The real takeaway here is we've really been on a record investment cycle, our 2-year stack, and I mentioned this in a previous call and in our shareholder letter. 
 But our investment as a percentage of revenue has exceeded the industries. And there's an optimization process that you really need to go through when you start to hook everything up and reconnect everything and integrate it into your operation. I mean in mill speed, they talk about preoperating and start-up costs And when we look at putting the network back together with a better operating model going forward to drive long-term value, that's what this process entails. And we'll be successful at it. It just takes a little bit of time. 
Katja Jancic: If I may, one more. So it seems now the focus will be more on optimization. Is it fair to say that this could translate to less M&A activity? 
Edward Lehner: I think in general, we have a lot of M&A that we've done, and we'll continue to pursue attractive opportunities. But we really do want to look at optimizing the network, optimizing the acquisitions that we have done, optimizing the organic growth CapEx investments that we've made. And as we do that, it will all harmonize and come together nicely. We're going to continue to pursue attractive M&A opportunities, but we'll be selective. 
Operator: [Operator Instructions] And our next question comes from Alan Weber with Robotti & Company. 
Alan Weber: So just a few things. One is the ERP that you talk about, I'm a little confused, when is that actually going to be at all the centers? Or is that the plan? 
Edward Lehner: Yes. It really isn't all the centers now, except for some recent acquisitions, some bolt-on acquisitions and -- the real -- the heavy lift, Alan, was really in the South region and a few other service centers and call it, the general line service center network we have. We were on some legacy technology that was put in, in the early '80s. And at some point, it just runs -- it runs the course of its life and then you start to have to incur more and more expense, but even more to maintain it. But even more than that, it's the workarounds and the patches and the difficulties you have working between disparate ERP systems, especially as you try to introduce new tools and technologies to improve the customer experience. .
 It's the hard thing to go through. I think if you go back and look at the history of companies that have done heavy lift ERP conversions, it's difficult over a number of quarters, but we're really through the worst of it, and now we're going to get on to the best of it. And I think we'll see that in the coming quarters. But it's difficult, and you have to remap business processes. There's a lot of master data work. I mean I don't want to get too much in the pithiness of it and certainly have you to answer questions about it. But there's a lot of work that has to be done to really integrate that and to smooth it out. 
 And what happens in that process, and this goes to the hardest on the cost opportunities we have to really make our network more efficient. But when you go through these conversions, you incur more trucking expense, you move more material around, all things because you want to continue to provide that level of customer service while you're working through a difficult conversion and remapping of many, many of your business processes. So we're getting through it. We're going to be successful coming through the other side, but there is no growth without some discomfort. 
Alan Weber: Okay. And then the other question was in your comments, you talked about warehousing, SG&A being higher. And I guess part of that was due to the acquisitions from last year. Are those acquisitions currently profitable? 
Edward Lehner: Yes, majority of them are. I mean, there's 1 or 2 bolt-ons since vertical markets where maybe we have more exposure to alternative energy, for example.  Where their customers are placing smaller orders and their business is off a little bit. But we're pleased with the acquisitions. I think really it's more of a margin compression issue across the board. If you look at the price curves over the last couple of years, I mean, they've been difficult. And they don't stay that way forever. And I think what happens is when you look at competitive price, particularly in spot build material transactional business and program has its own unique characteristics program business, which are contracts we have with customers, the community were from 1 year to 10 years. 
 But on that spot transactional side, what we've seen is it's still competitive, it's still a price market. And when you have the commodity curves we have and we've had, 1 month doesn't make a trend. So even if prices stabilize and come up or commodity bellwether stabilize and come up, you really need 3 to 4 months in the service center sector before you really start to see that coming to your price book, hitting your margin in a positive way. 
 Really, the worst thing that can happen is prices tick up for a month and then they turn back and they go down again and then you get a compression on both sides because your cost of goods goes up, but then the spot price goes down to the market and then you kind of get a Malachi crunch, if you will, or you get like a double squeezed. So we're really looking to see prices get some momentum for 2, 3, 4 months, so they get in the price book and they stick, especially on the spot build materials side and the transactional business, which is attractive business. 
Pratham Dear: We have a question that got sent in. So we have a question from online portal, [indiscernible] asset management. How are the investments in customer experience going to unlock greater than historical operating leverage as the cycle improves? 
Edward Lehner: Yes. So part of the answer, I articulated to Alan. But let me just say this, in our industry, we're governed by certain fundamentals of can you quote fast? Can you quote complete? Do you have a competitive lead time? Can you fulfill and deliver on time consistently over and over and over again. And as simple as it may sound, it is the opportunity in the industry to really differentiate yourself in how much of metal selection can you provide from very basic pick, pack and ship all the way through to finished part. 
 And can you do that completely and competitively and deliver consistently time after time and the investments we're making. Although the competitive differentiation may not be smoothly linear, we believe and our conviction is strong that we'll hit these tipping points as we move forward in the future, and these investments really start to kick in, we do think we're going to have a competitively differentiated business model, and that's been the point of the exercise is to develop these systems and integrate them into our physical assets and the way we do our business every day. 
 And part of that -- that's what made the ERP conversion so necessary was to be able to get to these next-generation tools and get the benefits of these tools and bring a better operating model to the marketplace for that differentiation, these things were necessary. And they're challenging, they're difficult, but they're worthwhile and we have a strong conviction that we're going to be successful at it. 
Pratham Dear: And there's a second part to that question, sir. And do these efforts differentiate you enough versus competition to accelerate share gains in the future? 
Edward Lehner: We believe so. I mean, we believe so. Stay tuned for more. 
Pratham Dear: Operator, I think we're good with questions. 
Operator: It does appear we have no further questions at this time. Mr.  Lehner. I will turn the conference back to you for any additional or closing remarks. 
Edward Lehner: We appreciate your support of Ryerson, and we look forward to seeing all of you and being with you in good health next quarter. 
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.